Operator: Greetings, and welcome to the FirstEnergy's Third Quarter 2022 Earnings Call. [Operator Instructions]. As a reminder, this conference is being recorded.  I would now like to turn the call over to Irene Prezelj, Vice President of Investor Relations and Communications. Thank you. You may begin.
Irene Prezelj: Thank you. Welcome to our Third Quarter 2022 Earnings Call. Today, we will make various forward-looking statements regarding revenues, earnings, performance, strategies, prospects and other matters. These statements are based on current expectations and are subject to risks and uncertainties. Factors that could cause actual results to differ materially from those indicated by these statements can be found on the Investors section of our website under the Earnings Information link and in our SEC filings.  We will also discuss certain non-GAAP financial measures. Reconciliations between GAAP and non-GAAP financial measures, the presentation that support today's discussion and other detailed information about the quarter and year-to-date can be found in the strategic and financial highlights document on the Investors section of our website.  We'll begin today's call with presentations from John Somerhalder, our Board Chair and Interim President and Chief Executive Officer; and Jon Taylor, our Senior Vice President and Chief Financial Officer. Several other executives will be available for the Q&A session.  Now I'll turn the call over to John Somerhalder.
John Somerhalder: Thanks, Irene. Good morning, and thank you for joining us today. FirstEnergy continues to make significant progress in its transformation. Yesterday afternoon, we reported third quarter GAAP earnings of $0.58 per share and operating earnings of $0.79 per share. These results, which Jon will discuss in more detail later in the call, are at the upper end of our guidance and support our expectation for full year 2022 operating earnings in the top half of our full year guidance range of $2.30 to $2.50 per share, assuming normal weather.  In addition to our strong financial and operational performance year-to-date, we continue to execute against our strategy to become a more resilient and forward-looking company that is positioned for long-term stability and success. We are building positive momentum through our ongoing efforts to strengthen our culture, rebuild shareholder trust, accelerate improvements of our balance sheet and drive operational excellence through innovation and continuous improvement efforts. And we are positioning our company to capitalize on significant opportunities for growth through long-term customer-focused investments.  I'm privileged to work alongside the strong leadership team in this interim role, and I'm confident that this team and our committed employees will continue to execute on these strategies to transform the company into a best-in-class utility. And we intend to continue this momentum as we transition to a new Chief Executive Officer. The Board's external search is well underway, and we remain hopeful that we can make an announcement late this year or early in 2023.  The key attributes we're seeking include a strong track record of executive leadership within the utility industry, a demonstrated ability to execute on the regulatory front, leading operational and financial discipline and impeccable credibility with external stakeholders.  Our Board is excited about the future of the company and is confident in the leadership team and our strategy. We expect to continue driving the efforts that are already underway to ensure FirstEnergy is built for long-term success, and it's our expectation that the new CEO will see the same strong future that we see for FirstEnergy.  We are entering this new chapter from a position of strength. As we continue to focus on balance sheet improvements through organic growth and operating cash flow and our plan to sell an additional minority interest in one of our distribution or transmission assets, we will further accelerate improvements in our credit metrics. Improving our balance sheet to be on par with premium utilities will support higher levels of capital deployment to harden and modernize the electric grid to support the energy transition.  Before I turn the call over to Jon, I want to thank our employees for their efforts to move FirstEnergy forward over the last few years. They have been asked to step up time and time again to serve our customers, meet our commitments to stakeholders and stay focused on strengthening our company for the future. They continually rise to the challenge. Their hard work is helping us make great strides towards implementing our strategy and achieving our vision, and the Board remains committed to providing them with the support and resources they need to carry this company forward. I'm confident in the strength and talent of our team and our future.  Now I'll turn the call over to Jon Taylor.
Jon Taylor: Thanks, John, and good morning, everyone. I'm glad you can join us for today's call. We continue to execute on our strategies as we drive strong operational and financial performance. I'll start my remarks with a review of some regulatory and business updates, then we'll move to a discussion of financial results and expectations.  Starting in Ohio, we are nearing completion of the first phase of our grid modernization program, which began in 2019 and included installing more than 700,000 smart meters with supporting communications and data management systems and voltage regulating and distribution automation equipment on over 200 circuits to help provide our customers with enhanced reliability and power quality along with greater visibility into their electric usage. We continue this successful work.  In July of this year, we filed for our grid modernization Phase 2, a 4-year $626 million capital investment program, that proposes to deploy an additional 700,000 smart meters, distribution automation equipment on nearly 240 circuits and voltage-regulating equipment on nearly 220 circuits. It also includes pilot programs related to electric vehicle charging and battery storage. Together, these programs are designed to enhance the delivery of safe, reliable power while offering our customers modern experiences, emerging technologies and opportunities to help lower their bills.  In West Virginia, the Public Service Commission approved a settlement agreement for environmental compliance projects at the Fort Martin and Harris power stations to meet the U.S. EPA's current affluent limitation guidelines required to operate both plants beyond 2028 as well as a surcharge to recover the expected $142 million of capital investment along with annual operation and maintenance expenses. We currently expect to complete this construction by the end of 2025.  These projects allow us to responsibly operate these power plants for the benefit of our customers in the state through 2035 and 2040 as we continue to support a timely and clean energy transition.  At the same time, we continue securing commitments from residential, commercial and industrial customers in West Virginia to purchase solar RECs from our 5 planned utility scale solar generation facilities totaling 50 megawatts. As part of the conditional approval by the West Virginia Public Service Commission, Mon Power is required to obtain subscriptions for at least 85% of the facilities prior to filing for final approval. The customer response has been favorable, and we expect to reach the 85% threshold before the end of the year.  Our expectation is that our first solar generation site will be in service in 2023, with others to follow by 2025 at a total investment of approximately $100 million. This progress coupled with other regulatory outcomes this year around smart meter and electric vehicle programs in New Jersey go a long way in executing on our strategy to improve the customer experience through investments that modernize the grid and support the energy transition.  As we think about the future, we are preparing for an active regulatory calendar in '23 and '24. We've planned rate case filings in New Jersey, Maryland and West Virginia, all in the first half of 2023. For JCP&L, we last filed a case in 2020, and for West Virginia and Maryland, our last base rate case was filed in 2014 and 2018, respectively.  The planned rate cases will primarily address our lower equity returns, as highlighted in the presentation, which are the result of the significant capital investments we have made since our last rate case and changes in operating expenses, and include the accounting changes that we have previously discussed, such as vegetation management and corporate support costs.  In addition, the New Jersey rate case would address our smart meter and electric vehicle programs. The Maryland case would address our electric distribution infrastructure investment and EV program. And in West Virginia, we plan to file for new depreciation rates resulting from a depreciation case to be submitted later this year.  Also, as you recall, our existing Ohio Electric Security Plan expires on May 31, 2024. Thus, we plan to file a new ESP in the first half of 2023, which will include a proposal around our generation procurement plan. And ESP also provides an opportunity for provisions regarding distribution service such as capital recovery riders as well as additional programs that can provide benefits to our customers, such as energy efficiency. In the months ahead, we intend to engage Ohio stakeholders in a discussion about our proposed ESP V.  As we've mentioned on previous calls, we have been considering the potential consolidation of our Pennsylvania and Ohio operating companies into 2 state utilities. While we continue to evaluate our options in terms of timing for a potential Ohio consolidation, we expect to file an application in Pennsylvania within the next 6 months. Consolidating these utilities will align with our 5-state operating model, simplify our legal entity structure and increase the flexibility and efficiency of our financing needs. In 2024, we are required to file a base rate case for our Ohio utilities and we are beginning to explore the option of filing a rate case in Pennsylvania at some point within our current planning cycle.  Finally, in these regulatory filings, we plan to address recovery of regulatory asset balances, such as deferred storm costs, which currently amount to approximately $680 million across all of our jurisdictions. In September, Ohio Edison issued $300 million of 10-year notes at 5.5%. And we have one more transaction to complete this year at West Penn Power as we continue executing our debt financing plan.  While interest rates have increased, interest expense remains manageable through 2024 as our new money requirements are minimal, and our debt maturities over this same period have higher coupons averaging near 5%. Additionally, filing for new base distribution rates in all of our jurisdictions over the near term allow us an opportunity to address the increased cost of debt.  We remain focused on improving the credit profile of the company. During the third quarter, we repurchased approximately $140 million of holding company debt in the open market, bringing our total holding company debt reduction to $2.5 billion this year, which is more than a 30% reduction from the end of 2021. Also, as John mentioned, we are pursuing the sale of additional minority stake in one of our distribution or transmission businesses. This would follow our very successful transaction with Brookfield Super-Core Infrastructure Partners for a 19.9% interest in FirstEnergy Transmission LLC that was completed in May of this year at a 40x PE multiple or 3x rate base for approximately $2.4 billion.  While we don't have any additional details at this time regarding a proposed transaction, we remain focused on accelerating our balance sheet improvement efforts in a cost-effective manner with a goal of achieving 14% to 15% FFO to debt much sooner than originally planned.  We had a robust discussion about the pension during our second quarter call and our approach has not changed. Extreme volatility in both interest rates and global equity markets continue. The discount rate that measures our pension obligation increased from 3% at the end of 2021 to approximately 5.5% as of September 30, while asset losses and our qualified pension trust were approximately 22% through the same date. Despite the asset performance, our net qualified pension obligation improved over $400 million from 2021 to approximately $1.6 billion at the end of the third quarter with the plan's funded status at 81%.  The potential 2023 EPS headwind from the qualified pension plan has increased from $0.30 as of June to approximately $0.45 as of September 30. As we communicated in July, we are confident in our mitigation plan to address the $0.30. This includes costs we have already begun accelerating into 2022, the benefits from our balance sheet improvement efforts, specifically the $1 billion of high coupon debt that we retired in June and the expected uplift from other corporate cost reductions and earnings from our legacy investment in the Signal Peak mining operation.  We will also continue contemplating longer-term regulatory approaches to moderate the impact of market volatility on our pension plan, and we would look for additional offsets if the outcome as of December 31 exceeds $0.30. While an impact larger than $0.30 would affect 2023 earnings, we don't plan to pursue shortsighted gains that could take us off track for the future. Our solid and sustainable investment pipeline focused on providing reliable service to customers continues to firmly support our long-term plan for 6% to 8% growth.  Our focus remains on controlling what we can control and creating value over the long term through regulated investments, operational and financial discipline and an improved credit profile. Our financial performance this quarter speaks to the continued resiliency of our business.  Third quarter GAAP earnings were $0.58 per share and operating earnings were $0.79 per share, near the top of our guidance range. GAAP results primarily reflect a onetime charge as a result of implementing recommendations from the FERC audit, which covered the period going back to 2015 and resulted in certain write-offs and expected refunds. On a proforma basis, excluding the impact of accounting changes, rate credits provided to Ohio customers and equity financing transactions, which are all unique drivers this year, our third quarter operating earnings increased $0.11 per share or 16% compared to the same period in 2021.  On a year-to-date basis, we reported GAAP earnings of $1.42 per share and operating earnings of $1.91 per share. Again, on a pro forma basis, adjusting for the accounting changes, the Ohio rate credits and equity transactions, we achieved a $0.17 improvement in operating earnings compared to the first 9 months of 2021 or nearly 10% year-over-year growth.  Third quarter results in our distribution business benefited from higher weather-related demand, the positive impact of our capital investment programs and lower financing costs. These benefits offset higher operating expenses associated with accelerating future planned maintenance work from 2023 into 2022 and higher material costs.  Total and weather-adjusted distribution deliveries were essentially flat compared to the third quarter of 2021. Warmer summer weather and stronger demand from industrial customers, reflecting the continued rebound in many industrial sectors within our service territory, was partially offset by lower year-over-year weather-adjusted residential usage.  Residential sales decreased 1% from the third quarter of 2021 and a little less than 2% on a weather-adjusted basis. However, sales to residential customers remain higher than pre-pandemic levels by nearly 3% on a trailing 12-month basis, reflecting a permanent structural shift in this high-margin customer class.  Deliveries to commercial customers decreased 1% or close to 2% on a weather-adjusted basis. And sales to industrial customers increased approximately 2%, led by growth in fabricated metals, automotive, food manufacturing, education services and plastic and rubber.  Third quarter industrial sales were down approximately 1% compared to pre-pandemic sales. In our transmission business, third quarter results primarily benefited from continued formula rate base growth associated with our Energizing the Future investment program and lower financing costs. Our ongoing investments in this important program have added more than $0.5 billion in additional rate base since the third quarter of 2021.  Key projects currently underway include replacing more than 1,100 insulators along a 68-mile transmission line corridor in Northeast Ohio to ensure power reliability and resilience, a new substation in Ashland County, Ohio, to meet the area's future energy demands and supporting economic growth, and planning for a new high-voltage substation to support a data center campus that is under development in Frederick, Maryland. And finally, our corporate segment benefited from higher investment earnings from the Signal Peak mining operation and lower financing costs primarily related to our holding company debt redemptions throughout the year. With our strong results so far this year and our outlook for the next 2 months, assuming normal weather, we expect 2022 operating earnings at the top half of our guidance range. Additionally, we are on track to meet our cash from operations target of $2.6 billion to $3 billion this year, and improve operating cash flow consistent with earnings over time.  In mid-February, along with announcing our fourth quarter and full year 2022 results, we plan to provide you with 2023 guidance, along with updated capital and other plans to support our future growth. I too am proud of our progress to revitalize our culture, optimize our performance and improve our financial profile. We are energized by our transformation and look forward to taking the next steps to become a premium utility.  Now I'll open the line to your questions. As always, I appreciate your time and your interest in FirstEnergy.
Operator: [Operator Instructions]. Our first questions come from the line of Shar Pourreza with Guggenheim Partners.
Shahriar Pourreza: Jon, just -- I guess, just given some of the pressures we've seen with inflation and interest rates, I guess, how much of the $0.30 of pension headwind that you previously disclosed have you sort of been able to offset to date with some of the O&M and financing moves you've done recently, especially as we're layering in Signal Peak, which essentially is printing money given sort of the coal price moves. And just on the incremental $0.15, you mentioned, obviously, you're looking at additional offsetting opportunities. What could those be?
Jon Taylor: Yes, Shar, thanks for the question. Obviously it's been a very fluid situation with the pension. During the quarter, the pension improved $0.30 as of the second quarter to close to a $0.20 headwind at the mid-August time frame, and then it's ratcheted back up to $0.45. I would tell you with the moves that we've already made with our financing plan, the OpEx that we're accelerating into '22 and the insight that we have into Signal Peak's earnings for next year, at least the sales that they have locked in at this point in time, we've captured the majority of the $0.30. And we just have a little bit left to do on the remaining $0.30, which we feel very confident in. So with respect to the $0.30, we feel very strong about it. But like we said in our prepared remarks, if it's above $0.30 in a material way, we'll look for opportunities, but we're not going to take the business off track for the long term.
Shahriar Pourreza: Got it. Got it. And then just maybe a strategic question and maybe a little bit more theoretical. Just on asset optimization. Obviously, it's been a bit more challenging doing deals at this kind of like an interest rate environment. The buyer pool, I would think has shrunk a little bit. Are you still only open to selling a minority stake of, let's say, Pennsylvania, or could we see -- could we see you make -- could it make more sense kind of in this environment to look at an entire opco, which could actually expand the buyer pool to bring in more strategic versus just financial players. Obviously, some utilities are waiting for assets right now, but not sure they want a small stake in one.
John Somerhalder: We've seen continued strong interest for minority interest, either in a distribution business or additional sale of transmission facilities. Since that has remained strong, that works very well for us, either a 19.9% interest in the distribution business, which has tax benefits or potentially with strong value we continue to see in transmission, even though there will be some tax consequences that has value. So that's the direction that we think makes the most sense and based upon what we're seeing to date, we feel good about that direction. Jon?
Jon Taylor: Yes, I would agree. I mean, when we made the announcement in September, we had several inbounds from financial players showing strong interest in either a transmission or distribution business. We've had some conversations with several parties, and the interest continues to be strong. So we're continuing to work the process internally, and hopefully, we can get into a position where we can make an announcement either late this year or the first part of next year.
Operator: Our next questions come from the line of Steve Fleishman with Wolfe Research.
Steven Fleishman: So just for Jon Taylor, the pension, I know you probably don't want to get into marking pension every day, but the market's back to Q2 levels and I think it's up almost 8% this month. So if you -- and I know bond market's still weakened further. But just overall, if you kind of update it to roughly where things are now, where would you be relative to that $0.30 or the $0.45?
Jon Taylor: The $0.45 -- Steve, I -- it's probably in the same place or maybe modestly improved since September. Interest rates have continued to increase. Corporate spreads have expanded a little bit, which not only impacts the interest costs on the liability, but also impacts the value of our fixed income assets in the trust. So I think it's modestly better than the $0.45, but not significant.
Steven Fleishman: Okay. Great. And then on the CEO, the comments on -- that you made, John Somerhalder, on just what you're looking for in a CEO. I mean, those sound all great. And I guess the real question is, what's your conviction that you can find somebody and who comp -- that meet all these credentials from what you've kind of seen so far?
John Somerhalder: The good news is the process is we've made good progress already on it. And we've identified more than a couple of dozen individuals that meet these -- the criteria could be very good. And I would say that the interest level has been solid and strong as well. So we anticipate that we'll have a shorter list but still a list approaching 10 individuals that both are very well qualified, fit very well with our strategy and have interest at this point. We're encouraged at this point.
Steven Fleishman: Okay. That's good. And then lastly, just on the continued balance sheet progress. Any sense from the standpoint of the rating agencies on the potential for getting upgraded to investment grade, either late this year, by the end of the year, I guess, Jon?
Jon Taylor: Yes. We talked to them just a few days ago, and the conversation was constructive. I think we continue to execute against the plan that we provided them. And we continue to have conversations on timing. I think they're just waiting for -- just want to see us continue to execute. They are interested in what we're going to do with the minority interest sale and how that improves the metrics. And once we get into a place where we can make an announcement, we'll put that into the forecast and start having conversations in. But the conversations have been very constructive. I think it's just a matter of time.
Operator: Our next question is come from the line of David Arcaro with Morgan Stanley.
David Arcaro: Maybe just starting on the pension first. I was just wondering, could you consider selling part of the pension? And then -- or is there a regulatory approach that you could pursue? We saw a PEG in New Jersey filed a request with the BPU with a different way to consider accounting for the pension there. I'm wondering if either of those might be feasible options that you're looking at?
Jon Taylor: Yes. So Dave, I think for us to -- I don't know if we were to try to sell the pension obligation, I mean, given its funded status, that might be a little bit of a challenge to offload that obligation to like an insurance company or something like that. So I'm not sure that would be something that we would pursue.  With respect to regulatory mechanisms as we file base distribution cases over the course of the next couple or 3 years, we will absolutely look at ways that we can limit volatility exposure in the pension plan at our regulated companies. So that is something that is definitely on the table at this point in time.
David Arcaro: Okay. Great. That's helpful. And then -- in the slides, you had mentioned 20 to 40 bps of FFO to debt impact coming from AMT. And I was just wondering, would you consider that to be kind of structurally permanent going forward? Or are there potential offsets that you could find on the cash flow forecast to help with that drag coming from AMT?
Jon Taylor: Yes. So I mean obviously, we need much more clarity from the internal revenue service on the mechanics of the minimum tax. I mean the 20 to 40 basis points is not significant in the grand scheme of things when you think about FFO approaching $3 billion to $3.3 billion over the course of the next handful of years. So obviously for opportunities to offset that either through regulatory mechanisms or just further refinement in our operations. But I think to understand the final impact or the real impact, we just need a little bit more clarity from the IRS.
John Somerhalder: And David, I'd mention that we do see that impact as we move forward, but we have the other positives of just when we look at our ability to fund capital and increasing capital, we have enough cash to pay dividends, do that and the balance sheet improves moving forward.  So just our plan, we'll continue to improve the balance sheet as we move forward. And then obviously, the minority interest sale further accelerates that. So we do have other very positive ways to move the balance sheet where it needs to be even with this 20 to 40 basis points of impact from AMT.
David Arcaro: Yes, definitely smaller than some of the big positive changes that you're looking for.
Jon Taylor: Thanks, David.
Operator: Our next questions come from the line of Michael Lapides with Goldman Sachs.
Michael Lapides: Real quick on Ohio, can you just remind us with the ESP expiring late May next year? And also the potential for having to file a coal-blowing rate case at some point, do you think about -- in your conversation with stakeholders there, whether there's potential for a global settlement of some kind where you wrap all of those things into one kind of multiyear rate-making regime and rather than have potentially kind of 2 different proceedings or dockets and kind of somehow resolving for long -- to kind of create more long-term uncertainty about the regulatory work in the state.
Jon Taylor: Yes. Well, so Michael, thanks for the question. So I would tell you that we'll file the ESP V sometime next year. We have to make sure that we have a plan to procure generation for our customers beginning in June of '24. We also need to make sure that we have clarity on the capital recovery riders that we have in place and any other types of programs that will provide service to customers like our grid modernization program, any types of energy efficiency programs that we want to put in place.  So I kind of see these as 2 separate work streams [indiscernible] ESP V, which needs to be approved before we get into the June 2024 time period. And then with the rate case that we have to file in May of '24, obviously, we have a history of settling. But given where we are right now, my sense is that's going to be a fully litigated case and might take us out into the late '25 time frame before we get final approval on that.
Michael Lapides: Got it. Super helpful. And then one thing on Signal Peak. I mean, you've benefited from what's happened to commodity prices, although we had a bit of a pullback over the last couple of months and part of that is macro or trying to shut in a number of things. Is there a scenario where you look at yourself and say, you're not the logical owner of that stake? And how should we think about the market robustness for something like your state and Signal Peak as well as the tax claim applications or implications for you all if you were to be a seller of that state.
Jon Taylor: Yes. I wouldn't say the market is robust for that type of asset. Even with commodity prices where they are, I wouldn't consider it a robust market. We've had some interest in terms of people calling us about the asset. But as we started the dialogue, it just didn't make sense. And we're continuing to be open to those types of transactions and those types of discussions. But at this point in time, I wouldn't consider it robust.
Michael Lapides: Got it. And last one. Can you remind me what's the capital you're deploying in West Virginia to meet the environmental requirements? And are you getting a forward-looking or historical-looking cash return on that?
Jon Taylor: It's a $140 million capital investment for the affluent limit guidelines. And I think it's in the form of a surcharge that will be covered based on the capital you spend.
John Somerhalder: Yes. And importantly, I believe the depreciation rate for those dollars are in line with what we see as a logical end of life closer to 2035 or 2040 for the 2 plants. So we have that positive as well.
Operator: Our next questions come from the line of Julien Dumoulin-Smith with Bank of America.
Julien Dumoulin-Smith: Listen, I know things are going real fine here in parallel with the New Jersey BPU. Can you comment at all about offshore opportunities here? It seems like you may have just won in recent minutes here, a decent chunk on that effort here. But can you comment as best you understand in your position here, I get that this is happening literally in real time, but any commentary or initial thoughts? Or at least provide some perspective about what you guys already felt, if you can?
John Somerhalder: Yes. It is happening in real time. I mean we have not yet reviewed the order or the details, but we do understand that our proposal has been successful to a large extent and something potentially approaching $1 billion of investment over the next 8 to 10 years, which we view as very positive and additive to our plan and why it's so important to have our balance sheet, the strength that we're targeting. So we're pleased with that.  We're very happy to be a part of meeting New Jersey's clean energy needs in a way that really works for the customers. And we're using more existing -- we're using existing right-of-way impacts or less. So we're very positive, but we'll need to review the order and make sure we have more detail like you said, Julien, it's late breaking. And I'd ask Jon, Sam or to update if there's anything else that I missed on that.
Jon Taylor: No, I think I don't have anything else. I mean, obviously, it would be incremental to the plan that we have provided to investors. I think the capital would probably start being deployed sometime in 2024, '25, potentially. So in the last couple of years of our current planning cycle but would be an uplift to our plan going forward. So we're excited about that. But yes, we just -- like John said, need to review the order and make sure we understand it.
Julien Dumoulin-Smith: Understood. Thank you guys for at least attempting to broach that one here. Meanwhile, back to the schedule program. On 2023, I know there's been a lot of talk about pension here and the puts and takes. But can we talk about 2 other comments. First off, Pennsylvania, as best I understand this is the first time we've seen you guys indicate your filing for a case. Can you talk about, a, just how much of 2023 we could see an uplift? I mean you document in your slides here, earning a high 7% earned ROE. How swiftly could we see that improve potentially? Again, I don't want to prejudge a rate case outcome, but certainly some potential revenue deficiency is there. How much of an offset could that be to the $0.45?  And in tandem, I know in the Q that was discussed this allocation question on the new methodology that you guys have implemented. And it seems like that's shifting some CapEx to expense. Can you comment a little bit more prospectively on how much more expense that would drive in '23 onwards versus your earlier rate base and CapEx forecast? It's not entirely clear here.
Jon Taylor: Yes. Okay, Julien. So let me maybe just take those one at a time. So with respect to Pennsylvania, we're going to file 3 cases next year, New Jersey, West Virginia and Maryland. My sense is we'll file those sometime in the first part of next year, you probably won't see new rates until the end of next year or first part of '24 as part of those cases. So I'm not anticipating really any uplift from those 3 cases in the plan for next year, probably start rates effective sometime in '24.  With respect to Pennsylvania, we said we're considering to file a case. The thing about Pennsylvania, it's a forward-looking test year. So we could file that sometime late next year, first part of '24 with rates effective probably 6 to 9 to 12 months thereafter. So I don't anticipate anything from Pennsylvania next year given our current regulatory plan.  With respect to the cost allocations, that's the accounting changes that we've been talking about since late last year, Julien, where we reclassified certain of our costs from capital -- corporate support costs from capital to O&M. That's already in the plan. That's already in the 6% to 8% growth. So there's not going to be any impact from that going forward.
Julien Dumoulin-Smith: Got it. Actually, and then just with respect to Pennsylvania, presumably, that also enables you to accelerate some of the capital spend there and some considerations maybe around enabling the [indiscernible] .
Jon Taylor: Yes. So the current LTIP program expires at the end of '24. So obviously, we would have to file another application to expand the LTIP beyond that period. So I think all of that would happen together. And I do see Pennsylvania as an area where we could start to increase our CapEx there just given some reliability enhancements that we want to make.
Julien Dumoulin-Smith: Got it. Thank you, guys. Good luck with the search.
John Somerhalder: Thanks, Julien.
Operator: Our next question come from the line of Angie Storozynski with Seaport Global.
Angie Storozynski: So first, on Pennsylvania, the likely consolidation of your distribution companies there. Do you need to have that done before you potentially sell a minority stake in these businesses?
Jon Taylor: You don't have to have it done. If you were going to explore, like, for instance, a minority interest in our Pennsylvania business, you could do it at the same time, right? You could probably make a filing to consolidate the Pennsylvania companies and file an application to sell a minority interest. Maybe not exactly at the same time, maybe one, the consolidation first, but then the minority interest sale slightly or shortly thereafter, but you could do it commensurate.
Angie Storozynski: Okay. And then separately, as you pointed out, you have this very busy regulatory calendar for the next 3 years. And it happens at a time when regulators are scrutinizing the affordability of electric bills. I mean, how do you plan to address this issue? And how do you think it is likely to impact the outcome of those proceedings?
Jon Taylor: Yes. So the 3 states that we file in next year, if you just look at our total customer bills on a residential basis, we're probably 30 -- 15% to 30% lower than the peers in those state. And so we feel like we have a good story to tell in terms of our customer bills. We recognize that generation prices are increasing. But at the same time, I think it's important to make sure that you have strong and financially healthy utilities to make sure that we can provide the level of service that's needed given the fact that customer expectations are only increasing as we transition to more electrification. So I feel like we have a good story, but we do recognize the concern that you mentioned.
Angie Storozynski: Okay. And then lastly, is there any update on the pending SEC investigation?
Jon Taylor: On the pending SEC investigation. No update at this point in time.
Operator: Our next questions come from the line of Nick Campanella with Credit Suisse.
Nicholas Campanella: I just wanted to come back to the pension headwind and '23 and kind of recognizing fact that you reaffirm the long-term 6 to 8 CAGR still. Can you just give us a sense of just overall kind of confidence level in maintaining this into '24 and '25. And what are the drivers that you see that kind of keep you in that 6 to 8 kind of range? I know you kind of brought up new rate filings and obviously, there's interest expense reductions from the debt paydown strategy. But could you just give us a better sense of your overall confidence level on the CAGR, please?
Jon Taylor: Yes. I mean, I think we've tried to highlight that previously. We feel really good about the plan for next year and beyond. I mean, obviously, we're moving some expenses around this year to help offset '23, which gives us a lot of flexibility going into next year. We're going to have the permanent benefits associated with the debt tender transactions that we previously completed.  And then we have line of sight into Signal Peak's earnings for next year, at least a modest portion of what they plan to contribute to the company. And then we have other opportunities as we've highlighted before around corporate cost reductions, whether it be facilities costs, in our communications, advertising sponsorships that we look at each and every year. So we have a lot of opportunity and flexibility as we think about the long-term growth of the company.
John Somerhalder: Yes. I'd add to that. It's not only those items, but as we mentioned, getting the balance sheet where we want it, there's good opportunities, we think, in the benefit -- to benefit our customers on reliability and those type of issues to continue to invest in the business.  So we see with our balance sheet strong, a good affordability position we start at, even though we'll have to take into account commodity prices being up, we do see opportunity to invest more moving forward and grow earnings from those investments.
Nicholas Campanella: And then, Jon, you mentioned on Signal Peak that you locked in the sales largely for next year. So should we be kind of thinking about that earnings attribution as more fixed now rather than tied to commodities?
Jon Taylor: Yes. No, I think I highlighted they locked in a modest amount of their production for next year at prices consistent with what we're seeing this year. So we do have line of sight into some level of earnings contribution for '23. So they haven't locked in their full production schedule at this point in time but likely get that done by the end of the year.
Operator: Our next questions come from the line of Paul Fremont with Mizuho.
Paul Fremont: My first question is, does your planned mid-'23 Ohio filing, does that represent a change in timing from what -- from when you had originally planned to file a GRC in Ohio?
Jon Taylor: No, no. So 2 separate filings, Paul. The base distribution rate case we'll file in May of '24. And then the ESP, we'll file for sometime early next year, first part of next year because this is going to take a little bit of time to get that in place and get that approved by mid-'24 when it needs to go into effect.
Paul Fremont: Okay. And what's the difference then between the ESP filing and the GRC filing? I mean, aren't they essentially setting the sort of prices for the same electricity?
Jon Taylor: So the ESP, the electric security plan, is a more broad plan that deals with generation service that you're going to be providing to customers, how you're going to procure those services from third-party suppliers, but also allows you to look at your current riders, distribution capital recovery riders, other programs that you want to provide to customers. So it's really everything but distribution rates and distribution rates would be part of the base rate case in '24, which likely won't go into effect at the earliest until sometime late '25.
Paul Fremont: And then can you quantify what the Signal Peak contribution is expected to be for the full year '22?
Jon Taylor: It will be north of $0.20, probably somewhere $0.20 to $0.25 is what I'm guessing.
Paul Fremont: Okay. And last question for me. If you file to consolidate the Pennsylvania operations, do you plan any type of capital contribution to Met-Ed and Penelec before that happens?
Jon Taylor: We haven't contemplated that, Paul. If I look at the capital to the equity ratios in those businesses today, they're probably high 40s, if not in the low 50% range. So I wouldn't see a need to make any type of capital contributions into those companies.
Operator: Our next question comes from the line of Sophie Karp with KeyBanc Capital Markets.
Sophie Karp: First, I wanted to ask you about O&M. Absent new rate, how much offset do you have the higher costs, excluding pension headwinds, right? So from inflationary pressures, are there any mechanisms that you have now that could help you with those? Or do you have to just manage and absorb the increases until you get in rates?
Jon Taylor: Yes, we don't have -- for our base, what I'll call our base day-to-day operating, we don't have any type of regulatory mechanisms to mitigate inflationary pressures or anything like that. So it's really us to -- up to the company to manage our operating costs in between rate cases.
Sophie Karp: Okay. And is there any way that you could get interim rates when you file the queue of rate cases next year?
Jon Taylor: When you say interim rates, are you just referring to some type of tracker -- so we've seen kind of ...
Sophie Karp: Interim rates that are put in place until the rate case is decided to help with the liquidity situation now like is often the case in various jurisdictions?
Jon Taylor: No, I don't think that is something that at least that I've seen. Obviously, we would explore that. But I haven't seen that before, especially in the states in which we operate in. Now I have seen companies get trackers, for instance, for vegetation management or other big spend that they have where they can defer costs over a certain level and then take care of that in the next rate case or have some type of amortization of those costs built into their rates. But right now, we would have to file for a case and then get those types of mechanisms in place going forward.
Sophie Karp: Great. Got it. And then on the Pennsylvania utilities, if you would contemplate validating those operations, right? Would that happen concurrently with filing rate cases before or after? How would that, I guess, will work together?
Jon Taylor: Yes. My sense is we'll file to consolidate first, right? So we're going to -- we'll plan to file sometime within the next couple or 3 months or 6 months, and then we'll likely file a rate case at some point after that.
Operator: Our next question is coming from the line of Gregg Orrill with UBS.
Gregg Orrill: Yes. Just a follow-up on the offshore wind in New Jersey. What return would you be allowed in the transmission that you were talking about?
Jon Taylor: Yes, so Gregg, in the filing, we filed a 10.2% return on equity. So that was what was in our filing.
Gregg Orrill: And how are you thinking about that 20% equity stake option in the project?
Jon Taylor: Yes. Obviously, that gives us optionality. We have the option to buy into the offshore component of the project. So that definitely gives us another opportunity to invest in a transmission like investment.
John Somerhalder: Yes. But we have not made any final decisions on that. I think that's a good option for us to evaluate for our Board to consider but we have not made final decisions on that.
Operator: There are no further questions at this time. I would now like to turn the call back over to John Somerhalder for any closing comments.
John Somerhalder: Yes. Thank you, and thanks, everyone, for joining us today. We appreciate your continued support and we look forward to seeing many of you at the EEI Conference next month.
Operator: This does conclude today's teleconference. We appreciate your participation. You may disconnect your lines at this time. Enjoy the rest of your day.